Operator: Ladies and gentlemen, thank you for standing by. And welcome to Avery Dennison's Earnings Conference Call for the First Quarter Ended April 4, 2015. [Operator Instructions] This call is being recorded and will be available for replay from 11 AM Pacific Time today through midnight Pacific Time May 2. To access the replay please dial 1-800-633-8284 or for international callers you may dial 402-977-9140. The conference ID number is 21734745. I would now like to turn the conference over to Cyndy Guenther, Avery Dennison's Vice President of Finance and Investor Relations. You may begin ma’am.
Cyndy Guenther: Thank you, Frans. Welcome everyone. I’m happy to be back supporting shareholders as the Head of Investor Relations. Today, we’ll discuss our preliminary unaudited first quarter results. The non-GAAP financial measures that we use are defined qualified and reconciled with GAAP on schedules A-2 to A-4 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statements included in today's earnings release. On the call today are Dean Scarborough, Chairman and CEO; Mitch Butier, President and COO; and Anne Bramman, Senior Vice President and Chief Financial Officer. I’ll now turn the call over to Dean.
Dean Scarborough: Thanks Cyndy and good day everyone. We’re happy to have Cyndy back as the IR lead and I’m certain that she will serve all of us very well. I’m also very pleased to introduce you to our new Chief Financial Officer Anne Bramman. Anne started five weeks ago joining us from Carnival Cruise Line where she served as Senior Vice President and Chief Financial Officer. Anne has extensive experience overseeing the finance functions of market leading companies with complex global operations, including Carnival and specialty retailer L Brands. Anne is an outstanding to the corporate leadership team and I know you will enjoy getting to know her and benefitting from her insights. I’ve also asked Mitch to join us today to participate in Q&A. Besides the earnings announcement today, I hope you took note of another significant announcement concerning the organization. The board recently approved the appointment of George Gravanis for the role of President, Materials Group effective May 1. George has been a driving force in the growth and global expansion of our materials businesses and he joined the company 12 years ago. He played a key role in unifying our market presence in Europe and has been instrumental in our successful penetration of the Asia-Pacific region. Throughout his carrier with us, George has demonstrated a remarkable ability to inspire his team and drive strong business results. Now, turning to Q1 results, I’m very pleased to report a good start to the year. We beat our expectations for Q1 adjusted EPS by about a nickel, reflecting solid organic sales growth in pressure sensitive materials and strong sequential improvement for retail branding and information solutions. We also delivered significant margin expansion through productivity gains, higher volume, and improved product mix. I’m also happy to report that free cash flow improved nicely in the quarter, up nearly $140 million, compared to the first quarter of last year. You will recall that we did expect a meaningful shift of cash from the fourth quarter of 2014 into the first quarter of this year, as we took actions to reduce the volatility associated with year-end changes in working capital. That strategy has played out as anticipated and we continue to look forward to solid free cash flow for the full year with quarterly results more closely reflecting the underlying seasonality of our business. And we continue to expect to return the vast majority of that annual free cash flow to shareholders. We return $66 million to shareholder via share repurchases and dividends in the quarter. And earlier this month, the board approved that 6% increase in the quarterly dividend consistent with our earnings growth last year. And of course, we still have over $500 million authorized under our share repurchase program. As you know, we are laser focused on achieving our long-term financial goals, both the full year commitments we set through the end of this year and our new targets through 2018. We said in last quarter’s call that we were making some mid-course corrections to our strategies to insure that we achieve those targets. I’m happy to report that we’re already seeing some benefits on those actions as we strengthened the long-term competitive positions of all of our segments. One key course correction was rebalancing the price, volume, and mix dynamics in pressure sensitive materials. We had already begun to see some progress on that front in the fourth quarter. And I’m pleased to say that we delivered further improvement in the first quarter with favorable product mix contributing significantly to PSM’s margin expansion in the quarter. The other key course correction was to accelerate profitable growth in the less differentiated segments of both PSM and RBIS markets. Seeing some top line challenges in the back half of 2014, along with the negative translation effects of the stronger dollar, we intensified our efforts to identify accelerate and execute new restructuring actions. Again, this productivity focus is not just about lowering costs and expanding margins, which are crucial, but also about becoming more competitive so we can grow profitably and win in the more challenging segments of our markets. We made significant progress on this front as well, which is reflected in the increase to our projected restructuring charges and associated savings for the year. Looking briefly at the segments, pressure sensitive materials had a great quarter, with roughly 4% organic growth and record operating margins in the segment. Organic growth was solid across most regions. As I mentioned, favorable product mix had a significant impact on earnings growth and operating margin in Q1, as our strategy to accelerate growth in higher value segments delivered. We grew faster than average in the films category within label and packaging materials, including durables and specialty applications, as well as with higher value segments within graphics and performance tapes. Productivity improvement also contributed to the record operating margin for PSM, primarily through ongoing efforts to engineer reductions and material cost, as well as through restructuring initiatives. While we get benefit from raw material deflation in Q1, these savings were more than offset by the carry over effects of prior year pricing adjustments. As I mentioned at the start, retail branding and information solutions delivered strong sequential improvement in organic sales growth. The priorities for the RBIS segment are clear. First, accelerating top line sales growth for the core business. To that end the performance segment continues to perform well, delivering double digit organic growth in the first quarter. You may recall that we paid some pretty tough comps in the fourth quarter over last year, but this segment has been a consistent source of strength for us. Our biggest challenge last year was in a less differentiated segments of the market, particularly within value and contemporary. Sales in these segments were still down modestly year-on-year in Q1, but the team has made good progress gaining share in several key accounts. In particular, the team serving factories in North Asia and especially China delivered solid growth reversing last year’s challenging trend there. Another key priority for RBIS is to capture the above average long-term growth potential in embellishments and RFID. We continue to see strong profitable growth from embellishments, leveraging our proprietary heat transfer technology. Now, sales for RFID products declined in the first quarter versus prior year as we expected due to reduced demand from a couple of large European accounts. But the existing pipeline of activity remains very strong and I’m confident we will see our return to strong growth for RFID in the back half of this year and beyond. That confidence was reinforced by the feedback I received from multiple customers at the recent RFID Live tradeshow in San Diego where the question of retailer ROI wasn’t even a topic of discussion anymore. Another key priority for RBIS is of course margin expansion through further streamlining of S&A and rationalizing our manufacturing footprint. With the aggressive restructuring and other productivity actions underway, we expect RBIS to return to the margin expansion trajectory necessary to achieve our 2018 financial goals. In terms of the company’s overall outlook for 2015, we’ve raised our adjusted EPS guidance by a $0.05, as we believe the execution of our strategies will more than offset the incremental pressure we’ve seen on the stronger dollar. Now, I will turn the call over to Anne.
Anne Bramman: Thanks, Dean, and hello, everyone. I’m very pleased to join the Avery Dennison team. There were many compelling reasons for me to make this move. I’ve enjoyed working for companies with leading market positions still Avery Dennison was obviously attractive from that perspective. And it’s very exciting to join a team with a proven track record for innovation and execution. I’m obviously transitioning to a new space both in terms of industry and B2B focus; I look forward to bringing a different perspective to the team as I ramp up. Now adding to Dean’s commentary, I will provide a little more color on the quarter. In Q1, the company delivered a 25% increase in adjusted earnings per share on 3% organic sales growth. Currency translation and the effect of the extra week in the prior year had material impacts on reported sales growth and earnings. Currency translation reduced reported sales by 7.2% in the first quarter with an approximately $0.08 impact to EPS. The effect of the extra week in Q4 added an estimated 3 points to reported growth for Q1, which was worth roughly a $0.05 in terms of EPS. Adjusted operating margin in the first quarter improved 130 basis points to 8.4% as the benefit of productivity initiatives, higher volume, and improved product mix more than offset higher employee related costs. The company realized about $10 million of incremental savings from restructuring costs net of transition expenses. The adjusted tax rate was 34% consistent with the anticipated full-year tax rate in low to mid 30% range. Free cash flow was a negative $16 million, an improvement of $139 million compared to Q1 of last year. As Dean mentioned, a good portion of that claim was expected following the actions taken in 2014 to reduce the volatility associated with year-end changes in working capital. The company repurchased approximately 600,000 shares in the quarter at a cost of $34 million and paid $32 million in dividends. We remain committed to returning cash to shareholders and have sufficient capacity to continue our share buyback program in a disciplined manner. Now looking at the segments. Pressure-sensitive Materials sales were up approximately 4% on an organic basis; Label and Packaging Materials sales were up low-single digits; while combined sales for Performance Tapes and Graphics were up mid-single digits. On a regional basis, the pace of organic growth in both North America and Western Europe improved sequentially with North America up low-single digits and Western Europe growing mid-single digits. Organic growth from emerging regions was relatively low in Q1, up low-single digits due to continued softness in China and a significant decline in Russia offsetting continued strong growth in the Asian regions, India and Korea. PSM’s adjusted operating margin of 11.5% was up 160 basis points compared to last year as the benefits from favorable product mix and higher volume combined with productivity more than offset higher employee related costs. Turning to Retail Branding and Information Solutions sales were up approximately 2% on organic basis and adjusted operating margin expanded by 60 basis points. In terms of the top line performance, Dean discussed the solid progress the team has made in improving the challenging trends in the value and contemporary segments of the market, as well as the continued strong performance in the form of segments. Adjusted operating margin improved 60 basis points in Q1 as the benefit of productivity initiatives and higher volume more than offset higher employee related costs. As Dean mentioned, we expect increased margin expansion over the balance of the year as the team executes an aggressive set of restructuring and other productivity improvement initiatives while gaining leverage from higher volume. Sales in Vancive Medical Technologies achieving a positive contribution to earnings by year end. Turning now to the outlook of the balance of the year, we have raised our guidance for adjusted earnings per share to be in the range of $3.25 to $3.45, reflecting the roughly $0.05 nickel beat to our expectations for Q1. We outlined some of the key contributing factors to the guidance on slide eight of our supplemental presentation materials. Note that three of the assumptions underlying our original guidance have changed and we have reflected those changes in our new outlook. Specifically, for the full-year, at recent exchange rates, we estimate that currency translation will reduce net sales by approximately 8.5% and pretax earnings by roughly $50 million or an estimated $0.35 per share. Combining carryover benefits from 2014 with new actions taken this year, we now estimate that restructuring initiatives will contribute roughly $70 million plus pretax or about $0.50 plus per share. Consistent with the increase and anticipated restructuring savings, we have raised our estimate for cash restructuring charges to $15 million pretax. Combined with other items, this raises our estimate for pro forma adjustment to GAAP earnings from $0.25 per share to $0.40 per share. As you can see, the rest of our key assumptions remain unchanged from what we shared last quarter. So, overall, we delivered a good first quarter. Our two market leading core businesses are well positioned for profitable growth, which combined with our continued focus on productivity and capital discipline will enable us to expand margins and increase returns and achieve our 2015 and 2018 targets. Now I will open the call up for your questions.
Operator: Thank you. [Operator Instructions] And our first question from the line of Ghansham Panjabi with Robert W Baird. Please go ahead.
Ghansham Panjabi: Hey, guys, good morning. And Anne and Cyndy, welcome.
Anne Bramman: Thank you.
Cyndy Guenther: Thank you.
Ghansham Panjabi: First off on Europe and the increase in PSM growth there, but I think you said mid-single digits in Western Europe. Do you think that’s in line with the market or a function of share gains? And also, what are you generally seeing in the macro in Europe across both businesses?
Dean Scarborough: Mitch, why don’t you take that?
Mitch Butier: Yeah, so, broadly speaking, I think we’ve been telling that for a while that Europe has actually been coming in stronger than we had been anticipating based on the macro. But there is a big difference here between Eastern and Western Europe. Western Europe is actually showing really strong growth overall. I think if you look at some of the macro indicators as well, the consumer confidence and so forth, it’s showing positive performance in Western Europe, so we are seeing all that. Eastern Europe is different, particularly Russia. We’ve seen a significant drop-off in Russia, part of that is market and part of that is share, to be quite honest. Because we source Russia from Europe, so our cost base is in euros and it’s getting more challenging to get into Russia from that perspective. So, overall, Europe is on the West very strong, East is a little bit weaker. We continue to be pleased with the performance and the team continue to do a great job of driving growth in the high profit segments, and we continue to still more discipline in lower profit segments.
Dean Scarborough: I think Ghansham from an overall perspective including RBIS, what we see there – we have some pretty tough comps from Europe. As you recall there, we’re going in the kind of double digit category for a number of quarters. The couple of our big retail customers have been reducing inventories over the last couple of quarters and that’s put a little bit of pressure. So I would say that, that would be a slightly more negative outlook on Europe from RBIS, but we are hopeful that as the year progresses and the European economies get a little more solid that we will see some of the benefit there.
Ghansham Panjabi: Okay that’s helpful. And that the upside in cost savings for 2015, does that come to some extent from 2016 as a pull forward or is that actual cost savings from something new you found for this year?
Dean Scarborough: These are incremental actions from what we got previously.
Ghansham Panjabi: Okay, but doesn’t change anything in terms of 2016?
Dean Scarborough: No, we haven’t provided guidance on 2016. So..
Mitch Butier: So definitely there is some carryover into 2016.
Ghansham Panjabi: Okay, alright. And then just finally on the margins for PSM in the first quarter I think at 11.5%, I think that’s a record if I am not mistaken. How much of that was boosted by any one-offs such as lower raw material cost or anything else that may not recur as you kind of think about next year for example. Thanks so much.
Mitch Butier: As far as one-offs, there aren’t any one-off benefits that you see coming through within the quarter. It is above the high end of our targeted range that we’ve laid out and we still - when we laid out those long term target of 10% to 11%, we said we are targeting 11% because that level of this business is a very high returns business and we are focusing on achieving 4% to 5% organic growth rate. So no big benefits from that perspective as far as your question of other one-offs related to deflation, we have seen some deflation as Anne and Dean spoke to, but it’s been offset by the pricing that we have seen primarily carryover pricing from last year.
Ghansham Panjabi: Okay. Thanks so much.
Operator: Our next question is from the line of George Staphos with Bank of America Merrill Lynch. You may begin sir.
George Staphos: Hi everyone, good morning. Welcome back Cindy, welcome and look forward to working with you. I guess couple of questions, first, on RBIS, if we go back and we’ve asked the question I guess in the past as well, 10 plus years RBIS or [indiscernible] has been a source of continual restructuring. What makes you feel at this juncture that this level of action or the actions that you are taking really put the business on a much more profitable, much more sustainably profitable footing for the future. And then I have some follow-ons.
Dean Scarborough: Yeah, George it’s a good question. I think if you look back kind of at the bottom mostly 2009, we made significant improvements and the returns of this business are roughly at an average of 100 basis points per year. I think the team has done a nice job reducing cost and improving service, improving our competitive position and I think the go forward plan would be continued focus on both delivering a balanced strategy which is decent top line growth 4% to 5%, which we think is doable given the market and also continuing to drive a lot of productivity. So we slipped off the track a little bit last year, we did expand margins last year despite the soft top line and – but what I see is a business definitely recovering here. And since we want to go back to age-old stories, I have to say RFID if I ever seen a turning point, it’s been these last few months talking to retailers in the U.S. At this trade show a couple of weeks ago, it was all about – it wasn’t about is the payback – it was all about when and how they are going to implement this important technology. So I really see this as a definite upside for us over the next few years.
George Staphos: Okay. I want to get to RFID in a minute, but just back to RBIS, you’ve seen the margin improvement and that’s good but it has required continual restructuring. And so do you think that you can get your 100 basis points of margin improvement to get to your goals by 2018, 2019 without further restructuring. And then on RFID, if you can take us through the backlog in terms of why you think business picks up in the second half of the year, what’s the timeframe and what is the typical process for a retailing customer? Do they say, yes, we agree this is a fantastic thing and we contract with Avery Dennison for couple of stores and it takes a couple of quarters to low those stores and implement RFID. Can you give us a bit more detail around that? Thanks guys and I will turn it over at that point.
Mitch Butier: Sure, George. So on your first question, yes, we are confident where we’re going to be able to meet our 2018 objectives for this business both in terms of growth and margin expansion. To achieve those objectives and you are focusing in on margins, we do need a balanced strategy as Dean said which we do have of growth and productivity. This business has high I variable margins and also has a pretty high level of wage inflation every year. So we need a few points of growth every year to be able to maintain and expand margins there and then drive the productivity that we talk through. In order to achieve the 2018 targets, what we laid out, we actually knew we’ll be continuing the restructuring within RBIS. And we will continue to restructure this business every year to continue to find opportunities to reduce cost. So the balanced strategy, nothing shifted on that front and we’re going to continue to execute that. I think one thing we did say we are making adjustments is making sure we are streamline our sales and customer service organizations to focus on some of the lower value segment if you will and we’ve seen good progress on that as you can see in the growth rate here in Q1. And particularly focused on the apparel batteries in China and North China. That’s where we’ve seen good progress as well. So yes is a short answer, but we are confident that we are going to 2018 target, but – yes, it requires further productivity as well as growth across all segments.
George Staphos: Thanks. So I’d mention on the FRID.
Mitch Butier: Yeah, it’s interesting because I would say first of all most companies were taking longer time scalping up. They do 25 or 30 stores, whey would go the results. Then they would expand it to 100 or 150 [indiscernible] and then they ramp up. And I would say the cycle can last anywhere from 18 months to 36 months. This difference for me here was that retailers understand that to compete in an Omni channel environment. In other words, the ability for customers to operate both online and get products shipped to them or pick up products at the store. Inventory accuracy is fundamental to that strategy and RFID is the easiest way for them to achieve that. So what we’ve seen is the retailer now basically – their senior management is saying, we don’t need to go through a second phase of test. We get the benefits, we saw it in the pilot, now it’s rolling out more effectively. So the pipeline of activity is quite substantial. Now that being said, it’s still very difficult to predict precisely quarter-by-quarter when those purchase orders will start rolling in. But I’ve been around the RFID space for more than 10 years and for me it’s more intuitive but I definitely sense a change in mentally by U.S. retailer. So I think that’s positive for us in the long term.
George Staphos: Thank you.
Operator: Our next question is from the line of Rosemarie Morbelli with Gabelli and Company. Please go ahead.
Rosemarie Morbelli: Thank you. Good afternoon everyone and welcome to all. If you look at the first quarter, you surprised yourself at least should be better than you anticipated. Can you share with us, Dean, where you saw the main differences versus what your initial expectations were.
Dean Scarborough: Yeah, it’s a good question, Rosemarie. So I think our expectations will obviously higher than the Street consensus, but that being said we’ve beat all internal expectations by about a nickel. And I think certainly the margin expansion in PSM was a contributing factor and a lot of that came from mix improvement. Frankly, now the team has been working hard at growing the higher profit segments and changing the price mix equation. Here we call last year, most of the conversation on the earnings call was why aren’t we getting any flow through from our volume growth, and the team has been working hard. So there was a real positive swing for that. So that was a net positive. And frankly, I was pleasantly surprised by the rebound in RBIS. The first quarter is a tough quarter for us because it’s seasonally low, and I think the team did a great job executing against the number of programs capturing tier from some key retailers and we’ve got a hot product in our heat transfer product customer, we are actually a little bit short in capacity right now. And we are adding capacity as we speak. So all those factors came together. I will say we normally don’t raise guidance at the Q1 because it’s seasonally slow. So, I realize that a nickel may not sound that much, but for us we usually like to get two quarters behind us before we adjust our guidance. So, I think we are feeling obviously pretty good about the balance of the year.
Rosemarie Morbelli: Right, so in addition to the fact that your heat transfer is doing better as you probably benefited from lower cost for materials, is it too early to have a feel as to whether or not retailers are rebounding? I mean what do you hear out there?
Dean Scarborough: Well that’s a good question. One of our data points unfortunately is import of parallel into the U.S. and because of the Long Beach strike stock isn’t coming in. So we don’t have a very good metric right now to see how retailers are feeling and we’ve had some anecdotal evidence where retailers are having issues finding ships to bring the new product over, I think that will all sort itself on in the next couple of quarters. I think U.S. retailers are net positive right now given the way the consumer market is playing out and European retailers were less positive last Christmas. That’s even holiday season, but somewhat more positive now. I would say given again that the relative strength in European economies.
Rosemarie Morbelli: Thank you that is very helpful. I’ll get back on line.
Operator: Our next question is from the line of Jeff Zekauskas from JPMorgan Securities. Please go ahead.
Unidentified Analyst: Good morning. It is Sofya [ph] in for Jeff, how are you?
Dean Scarborough: Good.
Unidentified Analyst: Couple of questions. Can you discuss what the initiatives are that you are targeting under the $50 million restructuring program and that is like what are the things that was interesting in looking at your results is that all of the margin improvement really came in on the gross margin line and it didn’t really come in on the SG&A line, and so I was wondering whether you can touch on whether all the $10 million in cost savings effected the gross margin line, and also what projects you are targeting within the restructuring program for this year?
Mitch Butier: Sure, Sofya. We are talking a number of initiatives. So part of what’s baked in here from the beginning is the restructuring that we have within graphics and the recapitalization of our graphics operations in Europe. We also took some actions and more you are going to see it really kick in more in Q2 and beyond, around just SG&A reductions. So, we’ve had some actions within both segments, as well as at the corporate level to reduce cost, but also it’s not just about reducing cost we’re also just creating more of a stream line linkage between our marketing in R&D organizations for example and pressure sensitive, as well as some other changes really to get just more dynamic within the marketplace while also further reducing cost. So, SG&A is an area, you’ve heard about the graphics here of actions and we’re taking some additional foot print actions within RBIS. We just recently announced the closure of a couple of facilities in the South Eastern U.S. So there is a number of actions across the board that are happening and that we are working through.
Unidentified Analyst: Just add on to that if you look at for the full year, roughly about two-thirds of the savings will impact SG&A and then the remainder will be in the gross profit line.
Cyndy Guenther: And don’t forget, Sofya, that product mix benefit that Dean and Mitch were talking about clearly benefitted us on GP.
Unidentified Analyst: Yeah. If you took out the – there sis like some carry over from like negative pricing from last year probably in pressure center, but if you took out the negative carry over what was your raw material benefit in the quarter and what do you think it maybe for the year if you had to guess?
Dean Scarborough: We can’t really predict. As you know we like specialty products by and large both chemicals as well as papers and we just don’t have forward visibility not only to our own volume, but also to just what’s going to be happening in the market. So, we have not tried to predict what’s going to happen in the future as far as commodities market. We did see some sequential deflation, but that was something that we were anticipating and was part of as we said we look at – we’ve always talked about this in a net basis, looking at price and raw material cost and as you look at the price reduction that we’ve been having through last year included in Q4 that’s have been offset by some of the recent deflation that we’ve had.
Unidentified Analyst: So net benefit was zero you think?
Dean Scarborough: Correct.
Unidentified Analyst: Okay. In the pressure sensitive materials segment, the organic volume growth was – in my opinion phenomenon like 4% on top of like 6% last year, is that rate sustainable for the year seeing, I mean is there – do you have visibility where you are gaining share and do you think you can carry this rate of growth forward for the year.
Mitch Butier: Well, Sofya, our long term target is 4% to 5% and the difference this quarter was very solid growth in mature markets and a little weaker in emerging markets. I would expect over time for emerging markets growth to kick back in. I think we mentioned China and Russia were pulling us down a little bit on the emerging market side. So, it’s really hard to predict. I’m real happy with the 4% to your point, but we got there a little differently than I would have expected.
Unidentified Analyst: Yes I’m even surprised there was this much domestic strength. I mean it’s a little bit different from what we hear from other commentary and like in other retail trend. So it sounds like that you must have gained a little bit of market share as well?
Dean Scarborough: Well our focus on the high value segment that we have been talking is – those are places where we do have relatively lower share and so absolutely that is around share gain. So, yes is the short answer to your question. I wouldn’t say in the categories where we are the market leader that are you are seeing the share gains, it is more in the areas like graphics in specialty and so forth.
Unidentified Analyst: My last question would be, as of component of the total pressure sensitive materials business, how bigger are the higher value-add segments now, what do they comprise of the total business?
Dean Scarborough: So, in total I mean it’s not like there is a black and white high value segment and low value segments. If you look at tapes and graphics and reflective solutions in total those are about a quarter of the total PSM and within PSM, films is a high value segment in many regions and you have specialty as well, which is over 10% of the LPM business. So it’s a good portion in this varying degrees of high value versus low value, when we talk about the focus on high value, if you targeted segments that are around 40% or so of the total.
Unidentified Analyst: Thanks very much. I’ll get back into queue.
Operator: Our next question from the line of Anthony Pettinari with Citigroup. Please go ahead.
Anthony Pettinari: Good morning. Just wanted to follow-up on RBIS value and contemporary, you all shared there last quarter and I think you indicated in your prepared remarks that your team is making progress in gains share back, my question is and I apologize if I missed this, but were sales in value and contemporary, did they continue to lag in the first quarter and as you exited the quarter you saw some trends that you liked or were you recapturing share in 1Q in those segments?
Dean Scarborough: So the negative, so basically we are still down in the quarter year-over-year. We started to really get share in the back half of the year, really Q2 through Q4, but they were a lot less negative than they were in the fourth quarter. And we know anecdotally that we have gained some program. Some of that should actually start to show up in the second quarter. But more importantly, most of that business resides in North Asia, which is basically China and Asian, and that regions show nice positive growth for us. So we’re pleased to see that and that was a reversal of the trend, so we are feeling good about the trend. So we are not exactly where we want to be yet.
Unidentified Analyst: Okay, that’s very helpful. And then just kind of a bigger picture question for Dean or Anne. Over the last few years, you’ve obviously taken steps to reduce volatility of your cash flows and improve your margins. And given you’ve realized some good success on those initiatives, I was wondering how you think about the long-term leverage target in terms of being may be at the upper-end or the lower-end of that range or even reconsidering the range given your leverage versus some of your peers either on the packaging or the chemical, you appear to be a little bit under levered?
Anne Bramman: So, I’ll take this one. It was actually a part of a conversation, part of me joining the company as far as the company’s philosophy around this. And then we just did a pretty in-depth analysis on this as well. And quite frankly, we are very comfortable with the approach that we’ve been taking and are sticking to that measure. Our target – we are targeting a net debt to EBITDA between 1.7 and 2. And we use that as a proxy for the rating agencies that we are looking at, but we do believe that is the right target for maintaining liquidity in all scenarios and then making sure that we achieve the lowest weighted cost of capital across the business as well. So we are continuing to target that BBB [indiscernible] in order to have access to the markets.
Unidentified Analyst: Okay, that’s helpful. I will turn it over.
Operator: Our next question from the line of Chris Kapsch with BB&T. You may go ahead.
Chris Kapsch: Yeah, I guess good morning out there in the West coast. I just wanted to follow-up on the margin strength in pressure-sensitive materials segment. Obviously, that was a key source of the upside in the guidance revision. In the past, you’ve talked about the margins in that business from the emerging market business being higher than the Western regions and then in the quarter, you talked about a little bit better strength in the Western regions and a little deceleration in some of these emerging markets. So I’m just wondering if you can reconcile that mix shift in terms of the contribution to the upsides for the margins in that business.
Dean Scarborough: Yeah, so the sales growth was higher in relative terms than what we have seen traditionally within emerging markets within that business. And the margins are higher in the emerging markets, particularly Asia, than you see in the Western, particularly Europe margins overall. So if you look at our – I think what you’re asking is do we have a kind of mix hit – regional mix hit because of the growth levels. And the answer is, that’s more than offset by the product mix benefit that we are getting by driving growth in the high-value product categories. As well as what we’ve talked about in Q4 was instilling more discipline in some of the less differentiated segments around in pricing and how we go to market in those segments as well. So it’s a combined mix of all that. But I want to call out also that we are kind highlighting mix here, but productivity and cost out were a significant part of the margin expansion that we had within the segment. And we talked about that we are going to be accelerating our efforts there both to reduce cost, ensure we can hit our goals, but also to ensure that we are even more competitive in these less differentiated segments. So, that’s what you are seeing come through here, Chris.
Chris Kapsch: I see. And then just a follow-up on that. Rebalancing of pricing and mix that you just alluded to, did that – in some of the less differentiated segments, which I assume you’re talking about more in label and packaging versus graphic and performance tapes, did that entail just walking away from any businesses or any business or customers or conversely did you successfully implement any price increases in those areas?
Dean Scarborough: Both. We actually implemented some price increases targeted and in some cases, we actually – and this is more around Q4 and I talked about this last time where there was previously some business in Q4 that we would go after that we didn’t go after because it was just not that the margin that we need.
Chris Kapsch: Is there any regions that are – where you feel like the market is more receptive to pricing versus others in some of these less differentiated product lines?
Mitch Butier: I wouldn’t say this is really a regional matter. This is really going to get down into the details, customer by customer, product by product, and that’s the focus that we are giving and we are really using – adding EVA as an overall focus not just gross margin and making sure that product by product, account by account, that we’ve got the right EVA lens and achieving what we need to be achieving. So, broadly speaking, I wouldn’t talk about regions that are more receptive to pricing because we have in areas where we have experienced some deflation like in films areas we’ve given some price reductions to be able to make sure we are continuing to grow competitively.
Chris Kapsch: I see. And if I could just follow-up quickly on the RBIS segment, a challenge for that businesses over the years has been the retail space sort of operating their businesses with less and less inventory. And I’m just wondering, the first quarter has obviously never been a seasonally strong one, so I’m wondering if the – what you’ve seen there is supportive of any notion that maybe retailers with consumers having a little bit of relief from energy prices, if there is any notion that they may be looking to bolster their inventories a little bit?
Dean Scarborough: First, it’s a great question. But I think the focus for retailers right now is making sure they have the right inventory. And that’s why we see so much energy and activity around RFID. I think retailers before every season are always positive. The new items that they have are going to be terrific, but if they have been very disciplined in that kind of overbuy, and we did have a couple of large European retailers who purposely cut back last year to just reduce the level of stocks. They just thought they had too much. So I don’t think we’re going to see a massive increase in inventories because of retailer overconfidence, but I do think we will see increased adoption of RFID to make sure they have what the customer wants.
Chris Kapsch: I see. And just a follow-up on that because I appreciate your comment about omni-channel and its increased importance. Just as these retailer customers look at their CapEx budgets, I’m just wondering with the shift in CapEx towards omni-channel versus a new square footage growth, which just hasn’t been happening. It seems like RFID is sort of now looked at, at least the way you are looking at it as sort of a subset of omni-channel, so I’m just wondering as – the folks that control the purse strings on the CapEx side at the retailers, are they looking at cutting more or – are they looking at increasing the spending in RFID because of the compliments of omni-channel, is that what you are sort of getting at?
Dean Scarborough: Yeah, so that’s what we are hearing. And I think for me the real – lots of interest, lots of activity, lots of piloting, much more intensity around the activity. And of course when it comes right down to it, I won’t 100% believe until I see those purchase orders cut. But I do expect to see a strong growth component in the second half of the year. And it’s still relatively unpredictable on what the ramp looks like.
Chris Kapsch: All right. Appreciate the color. Thanks.
Operator: And our next question is from the line of Scott Gaffner with Barclays Capital. You may go ahead.
Taylor Saunders: Hi, this is actually Taylor Saunders on for Scott this morning.
Dean Scarborough: Hi, Taylor.
Mitch Butier: Hi, Taylor.
Taylor Saunders: Congratulations on the quarter. Just a couple of quick follow-ups, most of my questions have been answered. But firstly, I guess, organic sales in both segments were pretty good in my opinion. I was just wondering if you could provide any color on what you are seeing so far in 2Q if you think that strength is going to continue.
Mitch Butier: Yeah, so we’ve only had the first few weeks of shipments and the comps are pretty tough because you’ve got Easter timing shifting and a number of holidays that happen in spring in Europe. So overall where, as you know, organic growth 3% to 4%. First few weeks are a little bit softer than that to be quite honest but it’s normal within the normal band that we’d see for a few things and the comps are pretty tough right now that we are looking at. So overall it’s worth coming in, but we are still committed and expect to 3% to 4% for the full year.
Taylor Saunders: Okay understand. And then any update I guess on what you are seeing just with the M&A environment right now and your views on potential to do, maybe some smaller bolt-on acquisitions.
Mitch Butier: Well, good question. We’ve had an active pipeline for a while, nothing eminent again pretty much all small bolt-on type acquisitions and again I think a very high, they are all private companies that we undertake. So it takes time and valuations can sometimes give it to RBIC. We are pretty disciplined about what we are willing to pay. So we will see.
Taylor Saunders: Alright. Thanks a lot.
Operator: Our next question is a follow-up question from the line of George Staphos with Bank of America Merrill Lynch. You may go ahead sir.
GeorgeStaphos: Hi guys. A few quick ones to wrap it from our side and I just want to peg you back on a question that Chris had also earlier. And I wasn’t quite sure I understood the answer in terms of geographic mix. So historically, EM is higher margin, EM grew less quickly, but margins are up, so can you back through very quickly, what the drivers of that work given what is normally been the geographical mix tend in PSM.
Dean Scarborough: So George, you are trying to – I guess what you are asking is that, geographic mix a positive or negative for the quarter.
George Staphos: Yes. I would guess based on history that it would have been negative, yet it sound like it was a positive and just trying to reconcile that or correct but I might have not heard correctly.
Dean Scarborough: I think it’s kind of a rising tide list although, okay. I mean every region has been executing fundamentally the same strategy I believe that we saw margin improvement in every geography. And the focus on driving higher growth and high return segments was the dominant factor. I don’t believe look at the geographic mix piece.
Mitch Butier: The geographic mix piece is not as much it is relatively neutral overall George and part of it as we talk about emerging markets where came in, Russia was one of the reasons for that. Russia is not one of the higher margins of the emerging market. So overall on the geographic piece, it’s relatively neutral but overtime we would expect it to be a tailwind for us, something that lift margins overtime but we think that benefit until we got the product mix.
George Staphos: Understand. Thanks for that.
Anne Bramman: To that point George, I would also add – we are talking about China being a little soft specifically around moving away from some lower margin product and we did see a lift in the margin in China year-on-year.
George Staphos: Okay, that’s helpful. Thank you for all of that folks. And secondly and just a quick question, I think the answer would be no but I want to check it out anyway. Some of the work that we do survey vice and one of the other sections that we look at had picked up that apparel expectations had improved from some of the company that we track to sell packaging into these markets. Now since most of the apparels coming from offshore, it would suggest that perhaps there has some supplier response maybe because of the poor situation here domestically, have you seen any kind of indication to that effect where you are starting to see some apparel being product here or not from your radar screen?
Dean Scarborough: Yeah, it would be so small, George, it would be a blip for us. There isn’t enough apparel making capacity in this region to make a significant difference. I think what retailers are doing – and again this is anecdotal, some of them to get product in are using air and one the issues they are facing isn’t so much the bottleneck at ports here in LA. It’s the fact that the ships are taking longer to get back to Asia to pickup products. So I actually think this will all be sorted out in the next few months. So I think it’s going to be a relatively minor blip.
George Staphos: Okay.
Mitch Butier: There’s some shift mix to Latin America, but also you are seeing it out of China. You are shifting towards Vietnam and so forth. Those trends are continuing. But South China is still such a huge apparel hub that we still expect that to be the lion’s share of apparel manufacturing.
George Staphos: Okay. Appreciate that. The last question from us, more the macro question, I think Taylor was getting at it a little bit earlier. Historically, PSM has been a fantastic indicator for the economy is going and you obviously saw a better than expected first quarter from a volume growth standpoint. Do you get any sense specific to pressure-sensitive in the market that you sell into that even with GDP being, I guess, today 20 bps perhaps a little bit stronger underpinning as we head down to the next three quarters of the year? Thanks guys and good luck.
Dean Scarborough: Yeah, I will comment and I will let Mitch to just comment as well. So last year was not a great year for the North American pressure sensitive market, it was down three quarters I think up a little bit, one quarter. So, we did see nice growth. We don’t have the market data yet for this quarter. I’d like to see a couple of quarters of sequential growth to kind of gain my confidence level. I obviously saw the same numbers you did this morning on GDP, but I know there’s been awful lot of numbers on export reductions, not surprisingly. But I’d say, I’m going to reserve my judgment until at least another quarter of market activity for PSM. Mitch what do you think?
Mitch Butier: It’s just overall, I mean it’s tough to link our performance to what’s going on in the macro, but overall if you look at where our growth was in some of the higher value segments and where we know some of that’s been driven by share gain, if you take that away, if you look in North America, the volumes within LPM it is not great growth. So, some of the growth that we are talking about is coming across strong, due to the penetration in the high value segments. Western Europe, it’s surprisingly strong, the level of growth that we’re seeing there, both in the market, as well as what we are experiencing ourselves is continuing to surprise us to the upside. So, I’d say North America seems, I think the numbers we quoted shouldn’t read too much into the macro because it’s also around the focus on the high mix products and then within Europe though that definitely seems to be underlying strength. In China, we are seeing, what we described is exactly what we are experiencing right now, even when you pull comps away there is a little bit of slow down that we are experiencing in China.
Operator: And with that speakers, we will go to our last question from the line of Rosemarie Morbelli. Please go ahead.
Rosemarie Morbelli: Just very quickly, we didn’t touch on when seen and I know it is small and the 11% top line growth is quite strong, and you expect that particular business to be profitable or at least break-even by year end, what kind of a growth rate should we anticipate and what kind of a profitability based on that? I mean going out to 2016, obviously not this year.
Dean Scarborough: I think in our long-term targets we set was 5% top line growth and maybe a little higher than that and then operating margins, can’t recall at the top of my head, 9% something like that.
Mitch Butier: Yes, but we are basically focused on, this business is getting breakeven at the end of this year and then continuing by driving growth as well as productivity getting this business to be comparable to the other businesses by the 2018 horizon on margins, but through its higher growth rate and we are expecting more than 5%, whereas the other ones we are expecting 4% to 5%.
Rosemarie Morbelli: When we talking there, we are talking about dates for lack of band-aids or whatever which are going to deliver medication directly through the skin, correct?
Dean Scarborough: No, so these are not transdermal drug delivery mechanisms, they are wound care basically, so think about a high-tech band-aid with anti-microbial protection to prevent infection basically, as well as we have a lot of other wound care related products.
Rosemarie Morbelli: Alright. Thank you very much.
Mitch Butier: You’re welcome.
Dean Scarborough: I assume that’s the last question. So, thanks for listening this morning. We are obviously pleased with first quarter. We believe we are positioned to win in all key segments of the market and we are particularly happy that the course corrections that we began implementing last year are going through. We will continue to drive growth through innovation and superior quality and service, while reducing the fixed cost structure for both PSM and RBIS to significantly expand operating margin and return on capital and we will maintain our strong balance sheet and continuing to return capital to shareholders. So, thanks for joining us today and I look forward to seeing many of you very soon.